Operator: Okay, good day and thank you for standing by. Welcome to the Fluent Inc. Third Quarter 2022 Earnings Call. At this time, all participants are in listen-only mode. After the speakers presentation there will be a question-and-answer session.  Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dan Barsky, General Counsel. Please go ahead.
Dan Barsky: Good afternoon and welcome. Thank you for joining us to discuss our third quarter 2022 earnings results. Joining me on today's call are Fluent's CEO, Don Patrick; our CFO, Sugandha Khandelwal; and Ryan Schulke, our Co-Founder and Chief Strategy Officer. Our call will begin with comments from Don and Sugandha Khandelwal, followed by a question-and-answer session. I'd like to remind you that this call is being webcast live and recorded. A replay of the event will be available following the call on the Investor Relations page of our website, www.fluentco.com. Before we begin, I'd like to advise listeners that certain information discussed by management during this conference call will contain forward-looking statements which are covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any forward-looking statements made during this call speak only as of the date hereof. Actual results could differ materially from those stated or implied by our forward-looking statements due to risks and uncertainties associated with the company's business. These statements may be identified by words such as expects, plans, projects, could, may, and other words of similar meaning. The company undertakes no obligation to update the information provided on this call. For a discussion of the risks and uncertainties associated with Fluent's business, we encourage you to review the company's filings with the Securities and Exchange Commission, including the company's most recent Annual Report on Form 10-K and quarterly reports on Form 10-Q. During the call, we will also present certain non-GAAP financial metrics relating to media margin, adjusted EBITDA and adjusted net income. Management evaluates the financial performance of our business on a variety of indicators, including these financial metrics. The definition of these metrics and reconciliations to the most directly comparable GAAP financial measures are provided in the earnings press release issued later today. With that, Iâm pleased to introduce Fluentâs CEO, Don Patrick.
Don Patrick: Thank you, Dan and good afternoon. Thanks to all of you for joining our call today. I'm here together with Ryan Schulke our Chief Strategy Officer, Chairman of the Board and Company Founder with Sugandha Khandelwal, our Chief Financial Officer. I'll make some brief comments about our third quarter results which we believe reinforces the imperative behind our commitment to enhance the quality of our consumer engagements within our performance marketplace. I'll then update you on the disciplined progress we're making against our strategic priorities, while our industry continues to experience dynamic change and where our consumers are reacting to substantial inflationary headwinds. Our Q3 2022 results came in as planned off a very strong Q2 and consistent with our strategic course. Financial results were as follows; revenue of $89 million represents 4% year-over-year growth and is in line with what we advised in our last earnings release, as we opportunistically accelerated, our Q3 initiatives forward into Q2 in anticipation of marketplace uncertainties. In turn, revenue growth for Q2 and Q3 combined was up 18% versus 2021 and is a positive reflection of our long-term growth strategies. Our media margin of $28.1 million is up 16% year-over-year at 31.5% of revenue. Expanding our media footprint and strengthening our performance marketplace continued to drive margin improvement year-over-year consistent with our strategy. Adjusted EBITDA $5.9 million represents 6.6% of revenue, down $0.4 million year-over-year. This reflects our ongoing strategic investments focused on enhancing our platform while expanding the quality grounded consumer experiences within our performance marketplace. As I discussed in the last earnings release, our strong Q2 revenue and media margin growth reflected the effects of our Q3 2022 strategic initiatives that hit earlier than our original plan, result of our consciously leaning into momentum. In turn, Q2 and Q3 results landed where we had planned. Given the more volatile macroeconomic environment in the second half and the required strategic and economic adjustment, we are seeing a parallel in our Q2, Q3 results for the full year, our strong first half performance landing us where we planned for the full year of 2022. In the process, we continued to test and learn to ensure all growth initiatives that are aligned against our strategic course. This is a fundamental practice in our evolving business model. In Q3, we are encouraged by our double digit revenue growth of our core rewards business directly resulting from the momentum of our consumer engagement and CRM strategic initiatives, where we are committed to winning in the long-term. Rewards revenue growth was primarily offset by our jobs business due to challenges we faced with our technology platform migration coupled with difficult year-over-year industry comps. Of strategic relevance is how we proactively managed the mix across our initiatives to prudently expand our business unit margins where market opportunities exist and we are pleased that the majority of our businesses showed double digit year-over-year margin improvement. Our ability to remain strategic at nimble is important given the current market realities. It enables us to invest with purpose when growth opportunities present themselves. Our third quarter operating result exhibit the continued progress we're making in our long-term strategic growth plan. We are focused squarely on the consumer engagement along with enhancing the quality experience within our performance marketplace. While the entire industry is responding to a turbulent economic environment, we remain excited for 2023 as we believe the fundamentals that we put in place today will pay longer-term strategic and financial dividends, creating more effective long-term customer acquisition solutions for our clients while successfully positioning Fluent as a market leader is a winning road forward and it represents a more sustained fluent business for our stakeholders. Our every day mission remains strengthening and expanding our Fluent's three strategic growth pillars; our media footprint, our platform and our performance marketplace. Fluent's ultimate competitive advantage is enhancing our go-to-market capabilities within the logical points of intersection across each pillar. We call this our flywheel and it represents our differentiated position in the marketplace, our sweet spot, if you will. As I mentioned, given the market dynamics will remain, our intent is to invest strategically and then rapidly test and learn. We're not afraid of making a strategic bet as our model is designed to validate or eradicate, pivoting fluidly into long-term strategic growth opportunities where we believe we can win based on Fluent's competencies. We continue to make meaningful progress here and we expect to see more strategic and financial dividends in 2023 and beyond. We highlighted the initiatives within our pillars in the past earning releases, so I want to simplify by providing executive summary on how these strategic growth pillars interplay across one another in our quality flywheel. Again, our goal is to deliver higher quality consumer engagement, which we believe is a required path to consumer satisfaction and higher lifetime value. Winning here represents a significant long-term strategic and financial opportunities for Fluent. Number one, we are aggressively investing in quality at the conscious expense of our bottom line and we are convinced it will pay long-term strategic and financial dividends. Our traffic quality initiative has strategically evolved our media footprint by delivering a more highly engaged and motivated consumer to our digital media properties. In logical sequence we continue to grow our media footprint through channeled partnerships and geographic expansion, so that we can meet and exceed consumer expectations and those consumers in turn look forward to future engagements. Number two, consumer engagement is an unquestioned strategic priority, as is increased audience personalization of our marketing campaigns. When a high quality driven consumer visits our property within Fluent's digital media portfolio, the integrity of our first party data is pivotal to identifying the consumer's intent, need, or desire. Combined with our ability to gather and enable real time insights via our analytics and technology platform, this Fluent capability allows us in real time to present relevant offers to each segmented audience from our world-class clients. We then evolve our campaigns based on consumer learning and the insights gleaned represent an inherent competitive advantage for Fluent. Critical in building fluent brand equity is that when the consumer wins, so does a roster of clients. Number three, CRM leverages the capabilities of all three strategic growth pillars to drive increasing consumer lifetime value along with enterprise value for our shareholders. Our CRM technology and capabilities engage with consumers who willingly return to our media properties. Here we leverage their prior survey responses and performance marketplace experiences, allowing us to utilize their personal insights as a strategy to strengthen the relevancy and improve consumer engagement. This is the path to increasing consumer lifetime value, a significant revenue and margin strategy. As you can see, our quality flywheel enhances our go-to-market capabilities across our media footprint, our performance marketplace, and our platform. This provides a significant market play in attracting, engaging, and creating meaningful long-term relationships with consumers, while also strengthening our relationship with world-class clients in key industry verticals. Regarding Q4, given the unpredictable macro and geopolitical economic outlook, we are certainly seeing a parallel level of unpredictability in the digital advertising industry where consumers and our clients pause to assess the road ahead. The ramifications for Fluent are difficult to gauge and remain fluid, but we obviously expect to see growth continuing to moderate compared to the first half with consumers spending less and the clients operating more cautiously while tightening their budget. Adding to this market-wide complexity is that we are also seeing certain media costs increase above historical Q4 seasonal norms based on widely reported industry headwinds facing social media platforms. As a result, we are leaning into industry verticals and client partnerships, like health insurance, that have strong seasonal demand for our audiences, while also managing media mix in the immediate term. We do believe media costs will return to more historic norms after the holiday spending season, and at that point will positively impact spending across our media footprint. We maintain our belief that on a fiscal year basis, our annual 2022 financial results will continue to show revenue growth at or above industry growth rates as we look to earn market share in key strategic growth areas. In closing, we anticipate the economic environment will remain volatile for some time, and we will strategically and financially adapt to the economic realities by balancing our investments and managing our business mix without compromising our key long-term strategic paths. We remain focused on our well-defined growth pillars and will continue leaning into strategically compelling revenue opportunities where we believe we have a different position and a significant consumer runway for margin expansion over time. This is the decided path to winning more quality-driven consumers and establish competitive advantage in the marketplace while also creating shareholder value for our investors. And with that, I'll turn it to Sugandha to provide more detail on our financial results.
Sugandha Khandelwal: Thank you, Don, and good afternoon to everyone. We are pleased with our strong third quarter 2022 results and the continued momentum in the business as we execute on the fundamentals and progress with our strategy. Our unique first party data assets and strong advertiser relationships have put us in a great competitive position to win. In the third quarter Fluent generated $89 million of revenue, up 4% year-over-year. As expected, the growth rate was slower than the previous quarter, primarily due to our decision to accelerate test and learn initiatives in Q2 due to anticipated headwinds in Q3. The revenue growth in the third quarter was driven by the strength in our core rewards business driven by expanding on media footprint in the U.S. Another area of growth was our internal CRM capability, which enables us to reengage with consumers who have previously registered on our own media properties as we seek to enhance their overall lifetime value. These growth areas were partially offset by softness in our jobs business as we work to complete the migration of our internal technical platform. The improved functionality of the platform has positioned jobs for growth in the fourth quarter as well as 2023 and beyond. As a reminder, as a part of launching our traffic quality initiative in early 2021, we took a strategic approach in building high quality media traffic while reducing the volume of lower quality traffic. While we are conscious that our commitment to quality will reduce our traffic volume in the near-term, we are pleased that our monetization increased to almost 30% in Q3 as compared to the same quarter last year. Our media margin in Q3 was $28.1 million, up 16% year-over-year and representing 31.5% of revenue. For context, we spent nearly $61 million on paid media in the quarter, our largest cost component. On the last earnings call, we noted the opportunity to rise high quality traffic from biddable platforms, albeit at margin levels below the affiliate side of our media mix. While they expect this shift in our medium mix to continue in the near future, we remain confident in our ability to optimize that spend levels and ultimately drive high profitability over time. Our operating expenses on a GAAP basis for Q3 comprising sales and marketing, product development, and G&A came down by almost $1 million or 5% year-over-year to $19.8 million. Within that mix, sales and marketing increased by $1.2 million, driven largely by an increase in business travel, events and in-person meetings and some increased headcount to support the growing business. Our product development expenses increased by approximately $160,000, reflecting continued investments that we made in our technology and analytics platform as well as development of new ad based media properties expanding beyond our traditional focus on web-based media properties. Lastly, our G&A expense came down by $2.4 million. The decrease was nearly the result of cost incurred related to the full Winopoly acquisition during the third quarter of 2021, along with the termination of the Winopoly Put/Call Consideration. Finally, on profitability, our adjusted EBITDA for the third quarter was $5.9 million, representing 6.6% of revenue and down 8% year-over-year. Our interest expense increased by $150,000 year-over-year and driven by an increase in interest rates. In Q3 we continued to be a non-cash federal tax payer due to the availability of NOLs. We reported GAAP net income of $3.1 million in the quarter and adjusted net income, a non-GAAP measure of $5 million. As a reminder, our non-GAAP metrics are reconciled in the earnings release and our 10 Q or 10 K filings. Turning to the balance sheet, we ended the quarter with $33.1 million in cash and cash equivalent s. This is an increase of 112% year-over-year. Working capital defined as current assets minus current liabilities ended the quarter at $51.8 million up 25% year-over-year. Total debt as reflected on the balance sheet, ended the quarter at $41.8 million. Looking into the fourth quarter, we expect strong growth from our jobs and Fluent sales solutions businesses. Fluent sales solutions, live agent capability continues to advance our strategic agenda of providing end-to-end customer service solutions for our advertisers. The business is expected to benefit from the annual Medicare enrollment period in Q4 and is positioned well to capture the industry growth and improve its margins. While the fourth quarter has historically been our strongest quarter, we are seeing the growth moderate with a few of our clients pulling back on ad spending and deploying funds more consciously. At the same time, we believe consumers are feeling constrained by elevated prices caused by inflationary pressures and rising interest rates. Given this overall environment, we anticipate the macro uncertainty and industry headwinds to impact our P&L in Q4. For 2023 and beyond, we will continue to focus on driving revenue growth and margin expansion while maintaining a disciplined approach to our overall updating expenses. We believe that despite near-term challenges, all the fundamentals are there for us to return to a stronger revenue growth for next year. Before I conclude, I would like to provide a quick regulatory update. With increasing frequency, Federal and state regulators are holding businesses like ours to higher standards of training, monitoring, and compliance. From time-to-time, federal regulatory agencies and State Attorney General have directed investigations or regulatory initiatives towards an industry or towards certain companies within the industry such as ours. We provide regular updates on regulatory investigations and settlements in our reports to the SECTOR. Our Form 10-Q will contain certain updates on an investigation by the Federal State Commission, and of a lawsuit recently filed by the Attorney General of Pennsylvania against us related to certain of our historical business practices. We believe our current practices are in compliance with the state and federal consumer protection laws, and we are addressing each of these matters with our professional advisors. In closing, we are pleased with our third quarter results and the underlying strength of our business. As the economy transitions to slower growth and we head into uncertain times, our management team is laser focused on execution of our strategy and maintaining operating discipline with the goal of creating long-term value for consumers, clients, and Fluent shareholders. Thank you for your time. We are glad to take questions now.
Operator: Okay, thank you.  Our first question comes from the line of Maria Ripps of Canaccord. Your line is now open.
Unidentified Analyst: Hi, this is Matt on for Maria. Thanks for taking my question. I just wanted to follow up on the forward commentary and appreciate your comments that advertisers are operating more cautiously and tightening budgets, but was just wondering, what kind of feedback you've been hearing more recently in the last, last few weeks. Are there any pockets of clients across certain verticals or geographies that are maybe increasing spend modestly? I think last quarter you highlighted media and entertainment as sort of more of a recession resistant vertical. So just any additional color you could share that would be helpful. And then I have a quick follow up. Thanks.
Don Patrick: Sure. Thanks, Matt. Thanks for the question. Our platform was designed to support a number of performance marketing metrics. So it could be focused on growth like a user, a subscriber or it also could be shift towards more financial, like immediate return on ad spent or cost per acquisition. So the platform is allowed to move around flex -- very flexible in real time, and what we're seeing is there's still very strong demand within our verticals and specifically like you mentioned, the media and entertainment vertical. But in the last couple months we're seeing it, there's shifting from growth and acquiring users and more towards short-term return on ad metrics and spending and lifetime value. So the great thing about the Fluent platform is, they don't tend to cut budgets like you would think about an agency. They just adjust their performance metrics across that and that's what's the general trend we're seeing. The other verticals where are leaning in and you're seeing slight changes to, or big changes, obviously health insurance vertical through our Fluent sales solutions business. This is the second year we've had the call solutions business, very strong marketplace demand and very strong quality metrics that we're really leaning into. And the second, we talked about the jobs, business and that it had some headwinds around a large client, a very large brand that was taking up a lot of the supply last year and also our migration from the tech platform. That tech platform has been complete and we're really leaning into the functionality of that and we're seeing some good sequential quarter-over-quarter growth in that market.
Unidentified Analyst: Got it. Thank you. I appreciate all that color, very helpful. And then just on the media footprint diversification efforts, I know you talked about expanding channels and partnerships and getting into different geographies. Just any additional color you can provide on that and maybe sort of, what aiding do you think you're in and then in that effort? And then maybe just like in the context that you called out higher media costs that are industry-wide, does that that impact your strategy there in the near-term? Thanks.
Don Patrick: Yes, so I'll just put in context. There's two big pieces of our supply. One is obviously the biddable platforms, which we've talked a lot about over the last year that we've been growing into. Second is the publisher partners that we've been working with. The biddable platforms we've seen, in Q4 you see pricing increase always around the seasonality, but we've seen over historical norms it's increased even more than usual. Part of that we believe is based on the well documented problems that they're having with their financials and that the pricing is going up short term for financial reasons, not market reasons. So we've been managing the mix of our media and moving it less towards a biddable, more towards our affiliate side, along with leaning into to other supply partnerships that we have.
Unidentified Analyst: Got it. Thanks very much. I appreciate it.
Don Patrick: You asked a question around earnings, Sugandha mentioned it. We started the traffic quality initiative in 2021, where we took a ton of traffic off the board. It was more defensive at that time. We are -- we've been in the offensive position here with our media in terms of really leaning in. Part of what we talked about in Q2 was that we took a number of media initiatives and brought them forward, so we could test and learn. It takes a couple quarters to work through those to make sure that they're strategic versus opportunistic and making sure that there's a quality consumer around that. So we are playing offense on the traffic quality initiative side.
Unidentified Analyst: Thanks, very helpful.
Don Patrick: Thanks Matt.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of James Goss of Barrington Research. Your line is now open.
James Goss: All right, so thank you. I've got a couple. Good, so one is, should I read into your comments that you're looking at fourth quarter revenues probably being flattish, and if that's, as you revolve that mix, and how long would that situation persist?
Don Patrick: Yes. Jim, we are definitely managing more towards our margin rather than growth right now. And that's sort of and again the beauty of the platform is we can move from one side to the other. We are managing more towards the media side. So when you look at growth, we would look at revenue growth not being as strong as before, and we'd see, we'd be leaning into the media margin growth. So in this environment with not a lot of visibility with the brands, they clearly are being very visible. We get to see things in real time, but we continue to see don't have perfect visibility, so we're being more conservative around how we're managing that to mix. And we're also being conservative around making sure that the longer-term investments that we have we can continue to invest aggressively into to grow Fluent.
James Goss: All right. And you talked about additional investments in technology, I think in terms of enhancing the platform and balancing your initiatives. Could you talk about the nature of those technological creations and the cost and the ultimate intent?
Don Patrick: Yes. And the, it's a great question, Jim. Ultimately it really comes down to our ability to interact with the consumer in real time and serve up the right irrelevant ad to them, and then continue on with driving our, to our CRM efforts around the lifetime value. So specific, those investments have been going on now since early 2020 when we talked about our technology and the data platform and our CRM. The ones we were talking about today was more around the jobs related business that was really about ingesting different feeds and different partner supply in real time and being able to optimize that in a real time, in a real time way for our clients. So it always is around either audience segmentation or around the consumer experience around the relevancy of ads or the lifetime value and deepening that engagement with the consumer. Those are the three common trends you see with all our investments.
James Goss: And one final one, you talked about the consumer intent need and desire, and I'm wondering if there, what are the similarities and differences by major verticals? And do you get that information by certain questions and certain responses, or are you aggregating info over multiple contexts with some of the same people and building a database around them?
Don Patrick: Yes. It's a good question, Jim. We -- when a consumer comes on to one of our media properties we obviously tailor our questions to them on whether, based on their segmentation, based on their demographics, and also based on their intent. As they move and as they ask more questions or they start to show interest in certain ad serving, we will then make more relevant questions specifically targeted towards that individual. So we're looking at things from a individual level of what the insights showing, rolling up to an audience segmentation around that we run our ad serving off. So to answer your question, we look at specifically towards the individual and then aggregate it up towards the audience, and then we aggregate it up towards the vertical. So you we're seeing a lot of continued demand on the media and entertainment side, more on the financial service side. Obviously we're seeing less demand, it's more higher cost, higher consideration businesses, that the consumer is sort of being a little bit more hesitant towards these days.
James Goss: All right. Well, thank you very much. I appreciate it.
Don Patrick: Thanks, Jim.
Operator: Please stand by for our next question. Our next question comes from the line of JP Geygan of Global Value Investment Corporation. Your line is now open.
JP Geygan: Thank you. Good afternoon and congratulations on a nice quarter. You've given some good color on how your customer behavior is changing or your customer spending behavior is changing, but I'm curious in the face of some macroeconomic headwinds, what you're seeing from your website visitors or consumers, and then how you really tailor your day-to-day business operations to match your changed consumer and customer behaviors?
Don Patrick: Right. Yes, thanks, JP. So we are seeing the consumer, move or be more interested in what we call lower cost, lower consideration campaigns like media entertainment, things that tend to cost less money and also less of a purchase decision for them. And the way we're reacting to that obviously is around making sure that we're providing them with the right relevant consumer experience when they come onto our website. So if they're coming on and they're showing interest in streaming or in gaming or we're obviously able in a real time way through our machine learning algorithms provide that right type of exposure, experience them in terms of showing that ad serving to them. So the great news is that it's all real time all in driven by our machine learning and our analytics platform, driven by that eight segmentation. So as things change, and that could be hour-by-hour, second-by-second, consumer-by-consumer, our marketplace is flexible and dynamic enough to move towards those that intent or interest. This is a big, big time of the year for health insurance and that is obviously an important part of our business in Q4. And we've been able to also bring in, that type of quality consumer and bring that experience through our call solutions business through a live aging capability also.
JP Geygan: Sure. Have the changes you've discussed manifested in a change to the cost of traffic? And if so, how should we think about the development of your media margin going forward?
Don Patrick: Yes. So where it tends to be -- where it becomes the most impactful is what we call the lifetime value, JP. So when the consumer comes on, we have initial relationship with them. The CRM obviously then allows us to continue to have a longer-term relationship with them over time. And what we've been working on is making sure that, and measuring and making sure that that lifetime value a, increases and also expands over time. So the key metric is around the user and the -- our lifetime, the time of value that we have with them from a relationship standpoint, also from a purchasing perspective of what they're interested in and what they buy.
JP Geygan: Okay. That makes sense. Finally, your press release was quite clear on balancing your growth and margin initiatives, which seems completely reasonable as you operate in a very dynamic environment. But more broadly, can you elaborate on your long-term capital allocation priorities at this point?
Don Patrick: Yes from a capital perspective JP, it hasn't changed from what we talked about sort of last quarter. We continue to invest aggressively back into the business on from a technology and analytics and platform perspective. We have made small tuck-in acquisitions, you guys announced purpose. We also announced some other initiatives that we've been investing back for the business. But from a capital perspective, we have a fair amount of cash in the bank. We want to maintain that right now based on the economic uncertainty that we're going into. So from a bank perspective or from a potential stock purchase or anything, we are right now holding that cash.
JP Geygan: Great, thank you very much. I appreciate it and congratulations again.
Don Patrick: Thanks, JP.
Operator: Please stand by for our next question. Our next question comes from the line of Bill Dezellem of Tieton Capital Management. Your line is now open.
Bill Dezellem: Thank you. Relative to the healthcare vertical, would you please discuss the magnitude of the increases you're anticipating this year versus last? I think if I understood correctly, this is your only your third year in that vertical.
Don Patrick: Yes, so Bill, thanks for the question. Generally, last year, we were in the process of really â we closed on the Winopoly transaction in September, and a lot of it was around getting to scale and building the marketplace correctly. This -- the team has done a great job building the right types of partnerships from a client and brand perspective. It has been more based on making sure the yield and the quality is right this year. So although we will not so much see a lot of revenue growth year-over-year, you'll see a lot of margin growth in that call solutions business over the time.
Bill Dezellem: And that is -- that industry is just massive. So is this something that truly in and of itself is a needle mover for your fourth quarter?
Don Patrick: It is a needle mover, Bill. The one thing just as we've talked about before, that business is been -- has been building out other verticals that need live aging capabilities, the higher cost, higher consideration so we have got into other verticals of insurance, and we are rolling out other legal services and things â and verticals like that. But primarily, as we talked about, there's a lot of companies out there that sort of lead with the -- first with the demand and then build the supply up. One of our competitive advantages around our marketplace is our relationship with the consumer, and we bring it from â we really start from the consumer, make sure the quality is right and then match them with the right brands. So it is a strong play for us in Q4. It's also a very strong play long-term for us in terms of it really expands our marketplace into the higher cost to high consideration verticals that Fluent had not previously been involved in to this extent with the end-to-end solution sort of two years ago.
Bill Dezellem: Okay. I'm going to take one more follow-up to the same industry. From a margin dollar contribution over time, do you see where healthcare could end up being larger than the media business for you at all?
Don Patrick: I don't -- I think from the total business, I don't think will be larger than the media side of our business Bill but I do think it can be -- continue to be significant two times to three times the size it is today.
Bill Dezellem: Great, thank you for all the perspective.
Operator: At this time, I'm showing no further questions. So I'd now like to turn it back to Don Patrick, CEO for closing remarks.
Don Patrick: Thank you. In summary, our Q3 results confirm the progress we're making on our strategic course of building value for all Fluent stakeholders. I want to thank you for joining us today, and we greatly appreciate your support for the company. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.